Operator: Good morning, and welcome to the Solaris First Quarter 2022 Earnings Conference Call. . Please note, this event is being recorded. I would now like to turn the conference over to Yvonne Fletcher, Senior Vice President, Finance and Investor Relations. Please go ahead.
Yvonne Fletcher: Good morning, and welcome to the Solaris First Quarter 2022 Earnings Conference Call. I'm joined today by our Chairman and CEO, Bill Zartler; and our President and CFO, Kyle Ramachandran.  Before we begin, I'd like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that we will make today. Such forward-looking statements may include comments regarding future financial results and reflect a number of known and unknown risks. Please refer to our press release issued yesterday, along with other recent public filings with the Securities and Exchange Commission that outline those risks.  I would also like to point out that our earnings release and today's conference call will contain discussion of non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release, which is posted on our website at solarisoilfields.com under the News section.  I'll now turn the call over to our Chairman and CEO, Bill Zartler.
William Zartler: Thank you, Yvonne, and thank you, everyone, for joining us this morning. I'm proud of the results the Solaris team delivered this quarter at the start of what is shaping up to be a key year for both the company, our industry and global commodity fundamentals.  During the first quarter, our fully utilized system count increased roughly 20% sequentially to 75 systems and adjusted EBITDA grew 60% to nearly $16 million. We paid our 14th consecutive dividend and ended the quarter with $25 million of cash and no debt. During the quarter, we grew activity with both existing and new customers and believe that our growth outpaced the overall completions market. We saw increased demand for 9- and 12-pack configurations, which helped our customers navigate through sand supply shortages and delays that became prevalent during the first quarter. We also worked for 10% more oil and gas operators than we worked for in the fourth quarter. Some of this new customer growth was a direct result of demand from our new technology offerings such as our top fill system.  In the first quarter, we ran multiple jobs with our top fill-based systems as part of our integrated last mile services offering, which allowed us and our customers to optimize trucking. Our top fill design offers flexibility and reliability in sand transportation and delivery by using either higher payload belly dump truck trailers or traditional pneumatic trailers. With this increased flexibility, our customers benefit from nearly 10% to 15% higher payload capacity per truckload while preserving the ability to dispatch pneumatic trucks as additional capacity to ensure that sand is always available.  This added value helped drive our first quarter results, where we had higher profitability per ton and per frac crew under our last mile model despite a slight decrease in total tons delivered due to the industry-wide sand shortages. The improved last mile profitability in the first quarter was driven by a higher number of tons delivered by belly dump trucks and an improved job mix, which we secured due to our investment in our top fill solutions.  The addition of our new technologies, combined with the price increase implemented at the beginning of the year, helped drive our overall profit per frac crew back to pre-pandemic levels. Demand for our top fill solution continues to exceed current availability, which combined with the improved recent results, gives us increased confidence in continuing our investment in additional top fill equipment. We expect this continued investment to create a much higher revenue opportunity per well site than we've seen in the prior periods while also allowing us to win work with new customers.  During the first quarter, we also ran an increased number of jobs with our AutoBlend integrated electric blenders with several units now deployed in our fleet today. While AutoBlend is earlier in its commercial adoption phase in our top fill technology, it was also an incremental source of profitability in the first quarter. We also continue to see an increase in demand for this equipment from customers who have now experienced significant use of AutoBlend as well as interest from new customers. We are continuing discussions on potential contracts with multiple customers.  We are encouraged by these demand signals and believe our new offering provides an attractive alternative to operators investing capital in older, not fit-for-purpose blenders. In the multiple jobs we have run with our AutoBlend system, our customers have seen a reduction in nonproductive time, increased reliability, minimized well site footprint and enhanced safety through increased automation of processes that traditionally require more personnel in potentially high-risk areas.  The additional equipment we are adding on completion sites is focused on helping our customers gain a significant net economic benefit. We believe Solaris can provide our customers with this benefit while also earning attractive returns on the investments we are making. We like to frame our investment opportunity around the return potential relative to each frac crew we work with today using our sand systems. With a top fill system and/or an AutoBlend unit on every location where we have our sand system deployed, we would have approximately 2 to 3x the investment deployed per frac crew, and we would expect 2 to 3x the contribution margin over a single 6-pack sand system on a frac crew.  Additionally, we believe both AutoBlend and top fill equipment can drive meaningful pull-through sand system revenue when deployed with customers who may not be currently using our sand system. We believe that adding additional kit to current customers and the benefits of the top fill and AutoBlend combined with sand equipment for new customers, will deliver increases in reliability, direct cost savings, increased speed and superior safety to our customers.  As we look to the second quarter, oil and natural gas prices have been volatile recently, but remained well above levels that continue to incentivize operators to bring production to market. We expect growth in completions activity combined with new technology deployments to drive incremental work with both current and new operators. As a result, we expect Solaris' system activity in the second quarter of 2022 to be up approximately 10% to 15% sequentially.  With a strong start to 2022 under our belt, we are excited for the months ahead as we focus on providing the highest level of customer service to drive consistent execution, meeting our customers' anticipated growth plans and continued investment in building and deploying our new technologies to grow our revenue and margin opportunities. We expect our growing offering to drive incremental market opportunities and competitive shareholder returns and look forward to sharing our progress in the quarters ahead.  Given the excitement around the growth we are seeing so far in 2022, I'd like to extend an invitation to our customers and partners for our second technology open house in late May at the Petroleum Museum in Midland. We plan to showcase our suite of equipment including AutoBlend and our top fill solution and look forward to demonstrating the benefits of our full offering, running simulated operations and interacting with all of you. The response from last year's event was overwhelmingly positive, and we look forward to seeing everyone again this year. Please reach out to us if you're interested in attending.  We'd also like to take a moment to welcome Laurie Argo, who joined our Board of Directors in the first quarter. Laurie comes to us with over 25 years of experience and leadership in the energy industry. We look forward to the valuable insights she will bring to Solaris as we continue to grow and develop innovative solutions that drive value for our customers and shareholders.  With that, I will turn it over to Kyle for a detailed review of our financial results and guidance.
Kyle Ramachandran: Thanks, Bill, and good morning, everyone. I'll begin by recapping our first quarter results. We generated approximately $57 million of revenue and adjusted EBITDA of about $16 million. We averaged 75 fully utilized systems, which represents a 19% sequential increase from the fourth quarter. This growth exceeded our initial expectations due to stronger-than-expected commodity prices, incremental growth in our customer base and increased demand for 9- and 12-pack configurations of our equipment.  Our gross profit margin per fully utilized system was up 21% sequentially in the first quarter. The strong incremental margin increase was driven by a combination of improved last mile profitability, increased pricing, fixed cost absorption due to activity growth and contribution from our new technologies.  Operating cash flow was approximately $6 million. During the quarter, working capital built by approximately $10 million to support activity growth and accelerated trucking payments associated with our integrated last mile services offering. After total net capital expenditures of approximately $11.5 million, free cash flow was negative $5 million in the quarter.  We returned a total of $5 million to shareholders in the first quarter in dividends, which was flat from the prior quarter. Since initiating our dividend in 2018, we have returned approximately $97 million in cash to shareholders in the form of dividends and share repurchases. We ended the quarter with approximately $25 million in cash and $50 million available under our undrawn credit facility for a total of $75 million in liquidity. During the first quarter, we signed an extension of our credit agreement, of which the terms remain essentially the same as our previous agreement. This facility will run for a term of 3 years.  Turning to our second quarter outlook. We expect the number of fully utilized systems operating in the second quarter of 2022 to be up approximately 10% to 15%. As a reminder, first quarter incremental margins benefited from a price increase for the 2020 year. While we expect continued improvement in system margin throughout the course of the year, we expect the primary drivers to be: Contribution from our new technologies; continued execution in our last mile logistics offering; and improved system cost absorption with anticipated activity growth.  SG&A expense for the first quarter was approximately $5 million, inclusive of noncash, stock-based compensation. For the second quarter of 2022, we expect SG&A to be approximately $6 million, inclusive of the normal quarterly expensing of noncash stock compensation. We expect the increase to be largely driven by higher headcount and administrative expenses to support expected growth.  Turning to our capital outlook. For the full year, we continue to expect maintenance CapEx to be in the $10 million range. Last quarter, we spoke about our commitment to growth capital of between $20 million and $30 million for the first half of 2022, driven by our investments in our top fill and AutoBlend technology. Given the success we are seeing with our initial technology deployments, we anticipate committing a similar amount of growth capital to the second half of the year, for full year growth capital expenditures expected between $40 million and $60 million. We expect capital expenditures to be more heavily weighted to the second and third quarters.  Our distributable cash flow defined as EBITDA less maintenance capital resulted in a dividend distribution coverage of about 3x in the first quarter of 2022. The combination of our outlook for growing profitability and stable maintenance capital expenditures should result in a continued improvement in our dividend coverage on a distributable cash flow basis throughout 2022.  We anticipate cash flow from operations, excess cash on our balance sheet, and if temporarily needed, borrowings on our credit facility, will be sufficient to fund our working capital and growth needs in 2022. In summary, we believe the strong results we've shared today are a testament to the initial success we are seeing in our new technology investments and continued strong execution across our full offering. We believe these developments will drive revenue and earnings growth for the company on a per frac crew equivalent basis. We are excited about the healthy backdrop of tightening industry fundamentals that is materializing for the year and are looking forward to sharing our progress above and beyond that backdrop.  We believe our growing offering is a key component of the industry's push to electrification of oil and gas well sites, driving higher standards of automation, safety and sustainability. We also believe that Solaris' offering drives lower total cost for operators, helps to alleviate many of the supply chain challenges in today's market, ultimately driving efficiency and production time lines.  As always, we remain committed to capital discipline by focusing on new technology that can grow our earnings per frac crew we service, driving incremental returns for shareholders, maintaining our dividend and maintaining our strong balance sheet and liquidity position.  With that, we'd be happy to take your questions.
Operator: . The first question comes from Ian MacPherson with Piper Sandler.
Ian MacPherson: Bill and Kyle, I think we're beginning to see the multiplier effect of your added services from the integrated blender and top fill, but I suspect we're only beginning to see the tip of the iceberg with regard to the multiplied revenue opportunity per pad.  So I was wondering if you could expand on that opportunity and how you see your revenue per spread improving as you get fully ramped and what maybe the cadence could look like in terms of penetrating beyond? I think you said you had 7 AutoBlenders in Q1. I don't know if those were all fully commercial yet or in route to that?
William Zartler: Thanks, Ian. We didn't give a number on the first quarter, but actually, it's closer to 4 in the first quarter, we're ramping that up and you can imply from the capital forecast on what we're going to do, there'll be a mix of top fill units as well as additional blenders.  And I think the point is that we effectively believe that we are able to grow our TAM per frac fleet up 2, 3x where it is today on top of additional -- attracting additional customers that may find the top fill delivery and much more attractive solution for them versus using pneumatic trucks in certain markets and certain customer base.  So we do see that, that is -- I think you hit it as a multiplier effect. But we're really putting more capital per frac crew using our new designs and our own manufactured products to go out there and deliver we believe both value to the customer and value and return on our capital.
Kyle Ramachandran: And I think the only thing I would add is this is several years in the works. It's sort of tying up very well with the industry activity, increasing the tightness we're seeing in trucking, the tightness we're seeing in sand. The other thing I'd add to it is the last mile value-add offering that we're putting together as well, we've been working on for a number of years.  That has increased in the new technologies that we're using with the top fills helping to drive adoption there as well. So I think they're kind of all coalescing at the same time, which is really exciting and really like your word, use of multiplier, I think that's the right way to think about it.
Ian MacPherson: Good. And then curious how -- what you're watching in terms of governing your rate of CapEx towards these opportunities going forward? I know you want to see that multiple prove up. But historically, you've been much more of a capital-light business. Now you have a tremendous growth CapEx opportunity, but I wanted to get your thoughts on how you're -- what you're watching in order to rate your CapEx growth going forward beyond the first half?
Kyle Ramachandran: It's obviously a balance with the tightness in supply chain in terms of procuring components, as well as securing labor to build the equipment. But what we're looking for is consistent use by customers, a backlog, if you will. We have been developing a backlog for the top fills and blenders for quite some time, and we're managing our manufacturing cadence in line with that. To date, we have not signed any contracts, but that is certainly a part of our strategy to underwrite this capital.
William Zartler: And I think we haven't been a capital-light business. I think we have been a new capital-light business over the last couple of years after we spent considerable capital building out the initial sand fleet.  And so where we'll take advantage of this, like in a true infrastructure business, where we're putting capital in the ground and using it on a rental basis with relatively high margins and return on that capital. But we are investing in steel and investing into equipment that we think has extremely long lives.
Kyle Ramachandran: And when we look at the top fill as an example, we can use that in our last-mile business. So we are a sort of base load of demand there. And we're seeing, obviously, the frac market is very tight. Potential reactivation, certainly new fleets being built as far as the electric elements are concerned. And so that becomes a natural backlog for us as well on the blender.
Ian MacPherson: Good stuff. Thanks for the clarifications there, gentlemen, and congrats on the progress.
Operator: The next question comes from Don Crist with Johnson Rice.
Donald Crist: Can you just tell me how many -- I know you're making excess margin on logistics, or providing logistics to the pads. Can you remind us how many of your fully deployed systems you're providing logistics on today?
Kyle Ramachandran: It ebbs and flows by the day, I'd say it's anywhere from 10% to 15% of our activity, on average.
Donald Crist: Okay. And just as a reminder, can you tell us -- can you remind us how much CapEx is for a top fill system and electric blender? And kind of what the mix would be, assuming that you spend $40 million on growth CapEx for those 2 systems this year, like what the numbers might shake out to be or how many blenders you may have versus top fill systems?
Kyle Ramachandran: The blenders had the longest lead items. And so we procured capacity for this year. But some of the items are as long as 6 months away. So if we're not putting it into queue in the next month or so -- or next 2 months I guess, there won't be additional capacity there for the remainder of the year.  The top fills are a little less constrained as far as that goes. But I think as we look at the balance of the capital this year, the top fill probably has a little bit heavier weighting towards that. And some of that is driven again by the adoption cycle that we referred to in the prepared remarks. The top fill solution is something that is, at this point in the industry, very well accepted as far as sand delivery.
Donald Crist: Okay. And just one final one for me. I know given the sand issues over the first quarter that kind of bled a little bit into the second quarter, more 9 packs and 12 packs were going out. Do you have a -- kind of a mix on those 75 deployed systems, how many were 6, 9 or 12 systems?
Kyle Ramachandran: It was definitely meaningful in the first quarter and it continues today. So we haven't really gotten into the details of it, but I don't think it's something that's going to go away. I think we're continuing to see tightness despite some of the commentary we're hearing in the industry.  And I mean, the way we kind of think about the tightness is -- as opposed to going to 1 sand mine, people are using 2, 3 or 4 on a single job, and that sort of volatility is where the buffer is really impactful.
William Zartler: Yes. And I think you look at it from a rate perspective of sand going down hole. And to the extent that you're simul-fracking and you're running 10 to -- plus 10 million to 15 million pounds a day, having the buffer of 2 sets of silos, so about 5 million pounds available stored right there at the well. On a day's supply or hour's supply basis is sort of consistent with historical practices around inventory management.
Operator: . The next question comes from Stephen Gengaro with Stifel.
Stephen Gengaro: Two things for me, one is pretty simple. When you talk about the 75 deployed, that one would be 6, 9 or 12 packs. You're not doing sort of a 6 pack equivalent on that?
Kyle Ramachandran: It is more of an equivalent metric, so a 9-pack and a 12 pack is referred to as 2 systems.
Stephen Gengaro: Okay, okay. My main question was when I -- when we think about what we're hearing out there as far as at least we're -- I think this is true that more of the sourcing of sand is going back towards the pressure pumpers versus the E&P self-sourcing. Does that impact you at all? And if it does, is it a plus or a minus?
Kyle Ramachandran: I think one thing we've noticed, and -- not noticed, but we're all seeing it is the consolidation in the pressure pumping space has changed the dynamics somewhat. So when we look at our customer base, it has grown, I would say, as far as the pressure pumping mix.  And I think that's really driven by the fact that there's consolidation. And yes, I think through consolidation, they're looking for rebundling opportunities and being much larger buyers of the consumables than any of the stand-alone E&Ps when we look at sort of the top 4 or 5 pressure pumpers. That -- the magnitude of their market share today was not there 3 or 4 years ago. It was far more fragmented.  Now we still have a lot of small frac companies. But that consolidation has had an impact, I think, on rebundling efforts. But there's still a healthy mix of operators going out and doing price checks and securing their own supply as well.
Operator: The next question comes from Sean Mitchell with Daniel Energy Partners.
Sean Mitchell: Great quarter. And -- really 2 for me. Number one, can you give us any color around the mix of -- on the increase? You went -- had a nice jump in systems during the quarter. Is the mix more private or public related? Number one.  And then number two, just -- you're going to be adding people and more, it sounds like top fill systems and you have an SG&A number that's going higher, so you're going to be adding labor. How tight is the labor market for you today? And then just you mentioned a little bit on lead time for, I believe, the blender being 6 months. What's the lead time to get a top fill system?
Kyle Ramachandran: I'll take the first part, Sean. As far as mix, I'd say it's twofold. We referred on the call that we are working for larger group of operators and I'd say the preponderance of that increase is probably in the private side. But that being said, there are large publics that we have not worked for historically, that are very interested and are using the top fills. So I think we will see growth in both sides, but two different dynamics driving this.
William Zartler: That's fair. With respect to labor, yes, it's a challenge across the board. I mean, I think we have upped our recruiting efforts and upped our tactics on that and are finding good talent. It takes a little bit harder to find it maybe than I get a few years ago, but I think there -- we have an attractive place to work, and I think we pride ourselves in the culture. And it's -- that is one of the key drivers for us to continue success.  Obviously, as you know, a couple of years ago, we beefed up our R&D team, specifically now, we're seeing the results of that. And I think now adding the additional field level oversight and management as we have a more complex offering in the field is a key driver, and we spend a lot of time training our folks on the various equipment and ensuring that we can provide reliability to the customers. And that's what we want to make sure we're known for, which is that delivery, reliability in the field.
Sean Mitchell: Got it. Okay. And then, Kyle, maybe just lead time on top fill system versus you said 6 months, I think, for the blender. What do you think it is -- if you order one today, how long does it take to get a top fill system?
Kyle Ramachandran: Yes. I mean we've got a queue built up, and so we're kind of filling that out. At this point, we're building out the supply chain. So it's kind of a moving target in terms of the capacity.  I'll go back to the sand systems. At our internal capacity, we were building roughly for a month back in '18 sort of time frame. At this point, our internal capacity is x on the top fills, and we're starting to work with third parties to help accelerate that. So it seems it's a moving target, I'm not sure it's really a number of note today, but I think we're going to look to opportunities to continue to compress that piece as we build more of them.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Bill Zartler for any final closing remarks.
William Zartler: Thank you, Drew. I'd like to conclude today by thanking all of our employees, customers and stakeholders for helping us deliver a very strong start to 2022. Our people, technology and services continue to both deepen our relationships with our long-standing customers and driving new partnerships.  We're proud of our team and our results and look forward to sharing updates on our growth initiatives as the year unfolds. Hope to see you all in Midland at the shows. Thank you, and stay safe.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.